Operator: Good day, and thank you for standing by. Welcome to the Great Southern Bancorp, Inc. First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Kelly Polonus, Investor Relations. Please go ahead.
Kelly Polonus: Thank you, Judy. Good afternoon and welcome. The purpose of this call is to discuss the company's results for the quarter ending March 31, 2021. Before we begin, I need to remind you that during this call we may make forward-looking statements about future events and financial performance. You should not place undue reliance on any forward-looking statements, which speak only as of the date they are made. Please see our disclosure in our first quarter 2021 earnings release for more information. President and CEO, Joe Turner; and Chief Financial Officer, Rex Copeland are on the call with me today. I'll now turn the call over to Joe.
Joe Turner: Thanks, Kelly. Good afternoon, everybody. I also want to thank you for joining us today. I am pleased to report that we began 2021 with strong operating results in the first quarter. As is typical, I'll provide preliminary remarks about the company's performance, and then turn it over to our CFO, Rex Copeland, who will go into more detail about our financial results. Hope that you've had a chance to at least glance at the earnings release. If you have, you've seen that we earned $18.9 million or $1.36 in the first quarter per share compared to $14.9 million or $1.04 for the same period a year ago. The primary drivers of our earnings increase this year were higher net gains on mortgage loan sales. Of course that's the result of the very robust mortgage market we're in, lower credit cost provision and generally well contained expenses. That was partially offset by slightly lower net interest income that was really almost exclusively driven by lower levels of FDIC accretion income. I think our net interest income was down about $850,000 for the quarter and our accretion income was down like $1.1 million or $1.2 million for the quarter. So that's really the culprit there, but generally a pretty good level of net interest income. And then, higher income tax rate; I think just as a result of higher levels of income result generally in a higher income tax rate for us because our tax credit have a lower impact on our ultimate tax expense. Our performance metrics for the quarter were good. Annualized return on common equity was 12.18% and that's return on robust levels of common equity, I think we ended the quarter at 10.8%. Our annualized return on average assets was 1.38%, our efficiency ratio was 56.33%. During the first quarter, we did adopt CECL which resulted in an increase in our allowance of 11 -- allowance for loan losses of $11.6 million. We also established an allowance for losses on unfunded commitments of $8.7 million. So essentially $20.3 million of additional allowance that we now have on our balance sheet that resulted in a $14 million debit to retained earnings, net of tax. As far as loan sales, since the end of 2020, our loan growth has been relatively flat. We've had good levels of origination, but loan pay-offs have been pretty robust as well. So our gross loan portfolio, including our unfunded loans decreased by $2.7 million, our net loans decreased by about $11.1 million. Both of those decreases from the end of 2020. Average debt origination activity continues to be strong. If you look at the pipeline chart in our earnings release, our pipeline continues to be relatively stable at $1.3 billion. A little bit of information about Paycheck Protection, the Paycheck Protection Program, we were pleased to again participate in that. Our loan officers are proud to be helping. Our commercial customers deal with the effects of the pandemic. In addition to originating second round loans, we're [indiscernible] forgiveness on the first round loans and that's going extremely well. To refresh you, we originated 1,600 loans for $121 million about this time last year during the first round of PPP funding. Currently, we have received full forgiveness on more than 1,100 of those loans totaling about $66 million and we have more in the pipeline awaiting SBA approval. I think from our perspective, we would say that the process has gone well, and we've had not -- not [ph] a pushback from the SBA on our forgiveness applications. As far as the second round goes, we have received nearly 1,500 applications totaling $55 million. We funded about 1,400 of those applications totaling $53 million. Those have been roughly split 50-50 between customers who participated in the program before and those that were seeking a first draw under the program this time. I would remind you, for more information about our loan portfolio, we did file our loan portfolio presentation last night that should be on our website as well as the SEC's website. Asset quality continues to be extremely strong. At March 31, 2021, excluding FDIC acquired assets, non-performing assets were $6.7 million, about a $2.9 million increase from the end of 2020. That's really just two loans, I think, customers that have been around the Bank for quite some time. Including FDIC acquired assets, non-performing assets were $10.9 million resulting in a percentage to total asset, non-performing assets to total assets of 0.19%. Our pandemic-related loan modifications dropped to $146 million at the end of March compared to $251 million at the end of December 2020. As a remaining loan modifications 19 loans totaling $141 million were commercial and 93 loans totaling $5 million were in the consumer and mortgage categories. Our capital continues to be very strong. From the end of 2020, it did decreased by about $18 million to $611 million, principally as a result of the additional allowance that I spoke about before, which reduced capital by $14 million and also the drop in the value of our available-for-sales securities portfolio. That concludes my prepared remarks. At this time, I will turn the call over to Rex -- our CFO, Rex Copeland. Rex?
Rex Copeland: Thank you, Joe, and thank you everybody for joining us again today. I'll talk a little bit first about net interest income and margin. Joe mentioned earlier that our first quarter net interest income was down about $849,000 from a year ago to a total of $44.1 million this year's quarter. One component of that I'll make note of we mentioned in our earnings release is the net deferred fees on the PPP loans. Joe was talking about the number of loans earlier. We recorded income -- interest income of about $1.2 million related to the net deferred fees accretion in the first quarter this year. I'll remind you that we deferred fees and costs related to that and accreted to income over the expected life of the loans at the loans pay-off, then anything remaining gets taken to income at that point. So we will expect to see some more of that probably here in the second quarter. As Joe mentioned, we're still working with some of the first round stuff to get forgiveness and repayment on some of those PPP loans. At the end of March, the net deferred fees related to those loans, the PPP loans for both of the groups, the loans that we originated was about $3.9 million; so that will be taking the income over the upcoming quarters. The net interest margin was 3.41% in the first quarter this year, that compared to 3.84% in the first quarter of 2020, which was a decrease of 43 basis points. The net interest margin was also 3.41% in the fourth quarter of 2020. So no change between fourth quarter 2020 and first quarter this year. In comparing the first quarter of 2021 and 2020, the average yield on loans decreased about 76 basis points, while the average rate on deposits declined about 80 basis points. Most of that margin compression resulted from a change in asset mix. We kind of talked about that previously and it's been -- kind of the thing has been going on for most of 2020 and into 2021 for us. Our average cash equivalents increased about $329 million and average investments increased about $30 million. And the average yield on those cash equivalents decreased about 106 basis points first quarter of this year versus first quarter of last year. So that change in asset mix, I mentioned a minute ago, was about 24 basis points of the decrease, with the addition in your call last year in June, we issued some subordinated debt, and that was about 8 basis points additional cost or reduction in our margin. The additional yield accretion from our FDIC loans was down about 11 basis points from the first quarter last year. So those three components make up really the whole difference of the decrease in our margin from 3.84% to 3.41%. The average -- compared to December quarter, the average yield on loans decreased about 3 basis points, while the average rate on deposits declined 15 basis points. However, the net interest margin as I said was unchanged, and that's really got to do mostly with asset mix again, where we had decrease in average loans, increase in average cash equivalents in Q1 this year versus Q4 last year. I mentioned the accretion income on FDIC acquired loans. What we have left to take the income is about $1.3 million at the end of March and we will have about $800,000 to $900,000 of that will go into income in the remainder of 2021. I'll shift over to non-interest income now. For the first quarter of this year, non-interest income increased $2.4 million to $9.7 million when you compare it to the first quarter of 2020. The increases there were primarily net gains on loan sales. As Joe mentioned earlier, significant activity -- origination activity in our mortgage business, and a lot of that's longer-term fixed rate which we sell in the secondary market. So the profit on loan sales was up about $2.1 million Q1 this year versus Q1 2020. We also had an increase in income on our derivative interest rate products. So the net effect of that we have -- we have derivatives are going both directions, back to back swaps with our customers and loan counterparties, and as rates have moved a little bit higher, the net impact of that to us is, we did recognize about $474,000 increase in that fair value. So that flows through our income statement in the non-interest income category. Last year's first quarter, I think we had net reduction in the market value. So that flipped around for us in the first quarter of this year. Other income was actually down about $600,000 compared to the first quarter of 2020. In that 2020 period, we had about $486,000 of income related to newly originated interest rate swaps with our customers and we also had some income recognized on the exit of certain tax credit partnership deals. Non-interest expense, as Joe said, fairly well contained this year versus last. Our non-interest expense decreased about $494,000 when compared to the first quarter last year to a total of $30.3 million in the first quarter of this year. Salaries and employee benefits was down about $1 million. The impact of that really was, as you may recall, we paid out a special bonus to our employees last year, and there was about $1.1 million of expense that was recorded in the first quarter of 2020 related to that. Also insurance expense increased about $378,000 this year compared to last year quarter. That's really in the FDIC deposit insurance premiums year ago. We had credits, where we did not have to pay the insurance premiums due to overpayment into the fund. And this year we're paying the full amount and expensing the full amount. The last thing was expense on other real estate owned, our repossession totals and real estate owned totals are down. The expenses on those decreased about $211,000 compared to the first quarter a year ago. The efficiency ratio for first quarter 2021 was 56.33% and that compared to 58.91% for the first quarter in 2020. The improvement in the efficiency ratio this year was really due to the increase in non-interest income, and also a little bit to the decrease in non-interest expense. Joe mentioned just briefly our income tax expenses where our rate was higher. So that rate was -- the effective rate was 21% in the first quarter of this year and it was little less than 16% in the first quarter last year. The drivers of that as Joe said are primarily the higher overall level of income that we achieve this year and a little bit lower levels of utilization of low income housing tax credits this year compared to the previous year, and also lower levels of tax-exempt interest income on municipal securities and some of our loans. And then another factor that plays into it is our state income taxes and how income is allocated between the various taxing jurisdictions where we have to pay tax and some of that -- some of those jurisdictions have higher tax rates than others. And so that plays into a little bit of the tax rate as well. We think though that going forward, our effective tax rate is going to be somewhere around 19.5% to 20.5% as we move forward this year. That concludes our prepared remarks at this time. So we will entertain questions. And let me ask our operator to once again remind the attendees how to queue in for questions now.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Liesch from Piper Sandler. Your line is now open.
Andrew Liesch: Good afternoon, everyone.
Joe Turner: Hi, Andrew.
Andrew Liesch: Hi. Sorry if I missed it, but what is the balance of PPP loans at the end of the quarter?
Rex Copeland: It's around $120 million or so, I believe. I don't have the exact number.
Joe Turner: I mean, I think it would be, Andrew, I think we funded $53 million and we've received forgiveness on $35 million. So I would think of $120 million, I would think it'd be $118 million, $119 million, something like that.
Andrew Liesch: Got it. Yes, that makes sense. If I take the $3.9 million, that's yet to be -- of fee income that's yet to be realized and back into a 3% yield or so on. It's right around $120 million. Okay, thank you. And then it sounds like forgiveness on that is going pretty smoothly. Is there any timing you can provide on how you think that's going to be forgiven? It will be more weighted towards the second quarter or third quarter, what are your thoughts there?
Rex Copeland: It would be a total guess, from my perspective, I would think the second quarter would be bigger than the third quarter when you...
Joe Turner: I would think so. I know a lot of our lenders are working with our customers. We've got several things in the pipeline, and I know they're doing some outreach to talk to the customer. So I would think that they're going to try to get more of this done in the second quarter, but I mean, I'm going to guess some of this is going to the third.
Rex Copeland: Yes.
Joe Turner: And that what the original grouping, and then the more recent originations here that happened since the beginning -- or since mid-January. I mean I'm going to guess we're not going to see those forgiveness items until maybe fourth quarter to start probably.
Rex Copeland: Right.
Andrew Liesch: Got it. I mean -- and then, just rolling in those fees and all the different dynamics that play here on the margin, like how do you think the margin should perform from this 3.41% level? I mean, do you have the benefit from the fees, but it seems like the core trend with although liquidity coming on might be a detractor from that?
Rex Copeland: Well, I mean, certainly the liquidity that we have, and as I said, the mix has dropped a little bit. So that's really been a lot of the story if you look back to where our margin was in the first quarter of 2020 before the pandemic sort of a little more normalized time. We -- probably like I said, half of that drop or so is really related to the mix. Just having a lot more liquidity, we probably have maybe $400 million more of liquidity now than we had then probably. And so, the other part of it, as I mentioned, the sub debt that we issued, that was another 8 basis points. And then the income that we're going to derive from the FDIC loans obviously is 5 basis points, I think in the first quarter of this year, and I believe it was 16 basis points in the first quarter last year. So there is not going to be a whole lot more of that income coming on the books. So as I mentioned, $800,000 or so, the rest of this year. So in the next three quarters, it's going to be $800,000 and they get spread in there, so.
Joe Turner: Yes. If you exclude the -- if you exclude the FDIC income, yes, I think there is -- Andrew, I think there is still some remaining pickup as a result of primarily time deposits continue to reprice. But I don't think there is -- I don't think anybody thinks there is meaningful increase in our margin from here until we see higher interest rates. Would you agree with that, Rex?
Rex Copeland: Yes. I mean what we're probably going to see is like Joe said our time deposits are going to reprice down over the next two or three quarters. We might see a little bit further reduction in rates on the non-time deposit balances. But I think those are like 19 basis points or something now, so there's going to be a limit at how much lower they can go. And what we're seeing on the loan side is a little bit of a reduction in loan balance rates, really because of the things that are repaying. Like Joe said, we've booked a lot of new loans, we generate a lot of loans. We just have a lot of repayments going on due, and a lot of those loans that are repaying or maybe going to be 4.5% kind of rates and the new loans going out may be closer to 4% or something like that. So we're seeing a little bit of headwind from that as well that's offsetting the good that we have from CD rates continuing to go down.
Andrew Liesch: Got it. Okay, thank you so much for taking the questions.
Joe Turner: Thanks, Andrew.
Operator: Thank you. Our next question comes from the line of Damon DelMonte from KBW. Your line is now open.
Damon DelMonte: Hey, good afternoon, guys. Hope everyone is doing well today.
Joe Turner: Hi, Damon.
Rex Copeland: Hi, Damon.
Damon DelMonte: So, my first question, just on the -- I apologize if you covered this in your prepared remarks, I was jumping between conference calls. But just in terms of how we should think about the reserve level and the provision going forward? I mean obviously the adoption of CECL was quite a big boost. And just given the strong underlying credit trends of the portfolio, is it -- is there a way you can kind of frame out what a range for the provision could look like in the upcoming quarters?
Rex Copeland: I think -- I mean I think a lot is going to depend on loan growth really frankly. So I would think if you assumed a flat loan portfolio, we sort of believe with our loan portfolio at the level is that right now. We've got the right reserve levels. So if you have a flattish loan portfolio and no charge-offs, there might not be -- you wouldn't think provision expense would be too high. If you have a little bit of charge-offs, then you're going to have to probably -- not replace your charge-offs, but you would generally think you're going to have to have some provision expense, if you have the level of charge-offs.
Damon DelMonte: The other piece of it that you'd had to think through too is, what your forecast is for the economy moving forward as well, so.
Rex Copeland: Yes, that's right.
Damon DelMonte: How you see that looking into the next 12 to 18 months that [indiscernible].
Rex Copeland: Yes, right.
Damon DelMonte: If there's drastic chances there. And the other piece of that too is the unfunded. As we mentioned earlier, the unfunded commitments have to have a reserve against them are not part of the allowance for credit loss. They are different than over the liability section, but same kind of concept, so as that pipeline grows or declines, there's going to be differences that you're going to reflect there too.
Joe Turner: Yes, I mean that's a good point. You know, if you had -- I mean we have about $1.3 billion in unfunded. If that went up 10%, it would be reasonable to assume that that allowance for the unfunded commitments might go up 10% as well, and that's $800,000, so.
Damon DelMonte: Okay. But from a pure loan loss reserve perspective here at like 1.59 excluding PPP, you don't think you need to go higher than that right. If anything, there should be a bias for some reserve release going forward?
Joe Turner: Well, I mean, I think, we think we're appropriately reserved at this point. So, yes, I mean, I guess I agree with what you're saying.
Damon DelMonte: Okay, fair enough. That's helpful. Thank you. And then I guess my other question, you know, on expenses, again I apologize Rex if maybe you called out some one-time items that weren't repeatable, but can you help us think a little bit about a good quarter run rate going forward to go off?
Rex Copeland: I don't think really in the first quarter of this year, we really had too much that was not fairly standard. Our expenses are going to be a little higher related to the mortgage business, because I mean as long as the mortgage business is still robust, we're going to generate a lot of fee income from the profit on loan sales probably, but we're also having a decent compensation to our producers and things like that. So those expenses, all things being equal, should be fairly consistent, I would think as we move forward. I don't really think there was...
Joe Turner: We didn't call out anything on the expense lines being sort of unusual.
Damon DelMonte: Okay, that's all that I had. Thank you very much. Appreciate it.
Joe Turner: Thanks, Damon.
Operator: Thank you. Our next question comes from the line of John Rodis from Janney. Your line is now open.
John Rodis: Good morning or good afternoon, guys. Hope you're doing well.
Joe Turner: Hi, John.
Rex Copeland: Hi, John.
John Rodis: Just -- I guess just a question on capital, obviously, so you adopted CECL. But Joe, I think as you alluded to your capital levels remain pretty strong. TCE is north of 10%. Can you maybe just remind us again you're sort of bias towards uses of capital going forward? And I know you bought back some stock during the quarter, but just sort of give us an update?
Joe Turner: Yes, I think, what we've said before, you know, obviously, if there was something really opportunistic on the acquisition side, we would be interested in that. But to remind you, the way we view acquisitions as we're going to have conservative assumptions and based on very conservative assumptions, particularly with respect to growth in the -- with the target company. Based on those assumptions we want the thing to be accretive, be a good deal to our existing shareholders. And generally we don't find those kind of deals out there. We did 10 years ago when we were buying banks from the FDIC, but we really haven't seen any big extent since. So as between stock buybacks and dividends, we would probably prefer stock buyback, especially given where we were able to buy our stock back in 2020 at close to book value. It spreads out from book value now, and so stock buybacks are not quite -- not quite as attractive as they were. It's not to say that we wouldn't buy back some stock at these levels, but there is -- it's not as attractive as it was back in 2020. And so that would leave special dividends or any increase in the current dividend possibly.
John Rodis: Okay, sounds good. Thank you, Joe.
Joe Turner: Okay.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to Joe Turner, President and CEO, for closing remarks.
Joe Turner: Okay. Well, again, we appreciate everybody for taking the time to be with us on our call today. And we look forward to talking to you in about three months. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.